Operator: Greetings and welcome to the NewMarket Corporation Second Quarter 2017 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Paliotti, Chief Financial Officer for NewMarket Corporation. Thank you, Mr. Paliotti, you may begin.
Brian Paliotti: Thank you, Doug and thanks everyone for joining us this afternoon. With me today is Teddy Gottwald, our Chairman and CEO. As a reminder, some of the statements made during this conference call will be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and our SEC filings, including our most recent Form 10-K. During this call, we may also discuss the non-GAAP financial measure included in our earnings release. The earnings release which can be found on our website includes a reconciliation of the non-GAAP financial measure to comparable GAAP financial measures. We filed our 10-Q this morning. It contains significantly more details on the operations and performance of the company. Please take time to review it. I will be reviewing and referring to the data that was included in last night’s release. Net income was $63 million or $5.29 a share compared to a net income of $64 million or $5.43 a share for the second quarter of last year. This is both an earnings and EPS decrease of 3% from last year’s performance. Petroleum additives’ operating profit for the quarter was $95 million, which is $8 million or 7% lower than last year. Consolidated sales for the quarter increased 4.9% to $547 million compared to sales for the same period last year of $522 million. The increase in revenue in petroleum additives in the quarter comparison was mainly driven by higher volumes. Petroleum additives shipments for the second quarter of 2017 were up 6.4% from the same period of last year and are up 10.1% year-to-date. Increases have been seen in both lubricant additive and fuel additive shipments. Asia-Pacific and Europe were the main reasons contributing to the increase in lubricant additive shipments and Europe was the primary driver of the increase in fuel additive shipments. In the second quarter, similar to the first quarter, we continue to see higher raw material costs. We typically see margin compression for a period of 2 to 4 months during these cycles. We have taken price action in response to the increases we have seen and continue to see. The effective income tax rate for the second quarter of 2017 was 26.5%, down from the rate of 30.1% in the same period last year. The rates for both the second quarter and the first half of 2017 were lower, primarily due to increased earnings in foreign jurisdictions from lower tax rates. On the cash flow for the quarter, items of note include funding our dividends of $21 million and using more cash to fund the normal variations in working capital. We continue to operate with very low leverage with our net debt-to-EBITDA remaining below 1x. In early July, we completed our previously announced acquisition of Aditivos Mexicanos, a petroleum additives manufacturing, sales and distribution company based on Mexico City, Mexico. The acquisition complements and expands absent its current footprint in Latin America, which includes subsidiaries in Brazil, Mexico, Argentina and Venezuela. We have welcomed the tremendous and highly capable team to NewMarket. Together with the AMSA team, its technology and supply capabilities, we have added a valuable set of assets to our global supply network. We are continuing to use our capital to achieve our long-term growth plans. For 2017, we expect to see an increase in the level of our capital expenditures to a higher level than 2016, which includes the anticipated spending on our Phase 2 Singapore investment as well as a number of improvements to our manufacturing and research and development infrastructure around the globe. Year-to-date, we have ramped up our capital spending to $85 million. Our petroleum additives business is performing consistent with our expectations. We continue to make decisions to promote long-term value for our shareholders and customers and remain focused on our long-term objectives. We believe the fundamentals of the industry as a whole remain unchanged for the petroleum additives market, growing at a 1% to 2% annual rate for the foreseeable future. We continue to believe that we will exceed that growth rate over the long-term. Doug, that concludes our planned comments, we would like to open up the line for any questions, please.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dmitry Silversteyn from Longbow Research. Please proceed with your question 
Dmitry Silversteyn: Good afternoon. Thanks for taking my questions. Couple of – just trying to dig a little bit into your revenue and margin performance for the quarter, your 10-Q suggests that your selling pricing was still down year-over-year compared to 2016. Is that just a sort of a lag from a very steep decline that you saw earlier in the year and you actually are getting pricing, you are just not up year-over-year yet, but you will be in the second half of the year? Can you talk a little bit about sort of your pricing initiatives and what the dynamics there look like?
Teddy Gottwald: Dmitry, hi, this is Teddy. We are not going to get into detail on our pricing. As you know, there is a lag when we see costs going up and that’s what we are seeing. And we have taken some action we are going to take more action to recover that. As far as actual prices this quarter versus a year ago, mix is a big component. Other than that, we really don’t have much to say about it.
Dmitry Silversteyn: Okay. Then turning to margins, they were about 2.5 points lower in the petroleum additives year-over-year obviously a function of the ramp up in raw material costs. With your pricing initiatives, are you looking to get back to parity by the fourth quarter or should we wait for 2018 before you kind of get the margin back to 18% plus given that you delivered almost 19% in 2016?
Teddy Gottwald: Yes, I hesitate to say we are going to get back to parity, because that’s parity compared to what. We have talked about margins being in a range in the mid to upper teens, that’s still the case. And we are not happy where they are right now and we are working on that.
Dmitry Silversteyn: Okay, Teddy. Thanks. And then just maybe a final question, your tax rate has been coming down as the profits from lower tax jurisdictions is growing, what’s your outlook for the tax rate for 2017 for the second half of the year?
Brian Paliotti: Yes, I think we are at 27% for the year-to-date, so we are going to be in that neighborhood for the year end.
Dmitry Silversteyn: Okay. And is that something that we can model for the out-years as well kind of the 27%, 28% range?
Brian Paliotti: Yes. I think the business is moving to more jurisdictions outside the U.S. and I think this represents where we are selling more now from a regional perspective, so I don’t see that changing.
Dmitry Silversteyn: Okay. Thanks, Brian. And then one final question on your Mexican acquisition, did it have an impact in the quarter in terms of revenue or profitability?
Brian Paliotti: No, we actually closed the acquisition on July 3, so second quarter – or third quarter event.
Dmitry Silversteyn: Got it, got it. Okay, thank you very much.
Brian Paliotti: You are welcome.
Teddy Gottwald: Thank you.
Operator: There are no further questions in the queue. I would like to hand the call back over to management for closing comments.